Company Representatives: Phil Green - Chairman, Chief Executive Officer Jerry Salinas - Group Executive Vice President, Chief Financial Officer A. B. Mendez - Director of Investor Relations
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Cullen/Frost's Q4 Earnings Results Conference Call. At this time all participants are in a listen-only mode. After the speakers presentation there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to Mr. A.B. Mendez, Director of Investor Relations. Please go ahead.
A. B. Mendez: Thanks Ashley. This morning's conference call will be led by Phil Green, Chairman and CEO; and Jerry Salinas, Group Executive Vice President and CFO. Before I turn the call over to Phil and Jerry, I need to take a moment to address the safe harbor provisions. Some of the remarks made today will constitute forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995 as amended. We intend such statements to be covered by the safe harbor provisions for forward-looking statements contained in the Private Securities Litigation Reform Act of 1995 as amended. Please see the last page of text in this morning's earnings release for additional information about the risk factors associated with these forward-looking statements. If needed, a copy of the release is available on our website or by calling Investor Relations at 210-220-5234. At this time, I'll turn the call over to Phil.
Phil Green: Thanks AB. Good afternoon everyone and thanks for joining us. Today I’ll review fourth quarter results for Cullen/Frost and our Chief Financial Officer, Jerry Salinas will also provide additional comments before we open it up to your questions.  In the fourth quarter Cullen/Frost earned $88.3 million or $1.38 a share, compared with earnings of $101.7 million or $1.60 a share reported in the same quarter last year and $95.1 million or $1.50 a share in the third quarter of 2020. For the full year of 2020 Cullen/Frost earned $323.6 million or $5.10 a share compared with earnings of $435.5 million or $6.84 a share reported for 2019.  Our team continues to manage expenses, while at the same time pursuing the expansion of market share and investing for long-term growth. Overall average loans in the fourth quarter were $17.9 billion, an increase of 22% compared with $14.7 billion in the fourth quarter of last year, but excluding PPP loans, fourth quarter average loans of $15 billion represented a 2.3% increase compared to the fourth quarter of 2019.  Average deposits in the fourth quarter were $34 billion, an increase of 25% compared with the $27 billion in the fourth quarter of last year. For the second consecutive quarter we’ve seen the highest quarterly average deposits in our history. This growth reflects that Frost has always been a safe haven for customers in times of uncertainty, and also our success in building new relationships. Our return on average assets and average common equity in the fourth quarter was 86 basis points and 8.55% respectively.  We saw a reduction in our credit loss expense to $13.8 million in the fourth quarter, down from $20.3 million in the third quarter of 2020, and this compared to $8.4 million in the fourth quarter of last year.  Net charge-offs for the fourth quarter were $13.6 million compared with $10.2 million in the third quarter. Annualized net charge-offs for the fourth quarter were 30 basis points of average loans.  Non-performing assets were only $62.3 million at year-end, down 35% from the $96.4 million at the end of the third quarter. A year ago non-performer stood at $109.5 million. Overall, delinquencies for accruing loans at the end of the fourth quarter were $103 million or 59 basis points of period end loans. Those numbers remain within our standards and comparable to what we’ve experienced in the last several years.  Regarding payment deferrals, in total we’ve granted 90-day deferrals to more than 2,500 customers for loans totaling $2.2 billion, and at the end of the fourth quarter only about $46 million remained in deferment. Total problem loans which we define as risk grade 10 and higher were $812 million at the end of the fourth quarter, in line with the $803 million at the end of the third.  Energy related problem loans were $133.5 million at the end of the fourth quarter, compared to $203.7 million for the previous quarter, and $132.4 million for the fourth quarter of last year. To put that in perspective, total problem energy loans peaked at nearly $600 million early in 2016.  Energy loans continue to decline as a percentage of our portfolio, falling to 8.2% of our non-PPP portfolio at the end of the fourth quarter. As a reminder, that figure was 9.1% at the end of the third quarter and the peak was 16% back in 2015. We continue to work hard to rationalize our company’s exposure to the energy segment to appropriate levels.  Throughout 2020, the pandemic’s economic impacts on our portfolio were negative but manageable, and our overall outlook for credit quality is stable to improving.  In the second half of 2020, we discussed the non-energy portfolio segments that have had an increased impact in the economic dislocations brought on by the pandemic: restaurants, hotels, entertainment and sports and retail. The total of these portfolio segments, excluding PPP loans represented just under $1.6 billion at the end of the fourth quarter and our loan loss reserve for these segments was 4.55%.  We saw the largest reserve increases in hotels and restaurants, where our allocated allowances as a percentage of outstanding balances are now 9.1% and 7.4% respectively. We continue to monitor credit in these areas closely and we will have a good, and we have a good handle on our risk, and as a reminder, hotels and lodging represent approximately 1.9% of our total loans and restaurants represent approximately 1.8% of our total loans.  To me a really bright spot is the growth in our commercial relationships in 2020. They were up by 31% compared to a year ago. We’re great at building relationships; it’s what we do; it’s in our mission statement. But clearly Frost’s national recognition for its success and going above and beyond to obtain PPP loans for its customers at a positive impact in the market.  In addition, our Houston expansion is also contributing to our success here. New commercial relationships in Houston grew 49% in 2020 and represented 39% of the new commercial relationships companywide during the year. For the year our loan commitments booked were down 6% compared to the prior year and reflected the impact of the pandemic.  Regarding new loan commitments booked, the balance between these relationships have stayed steady at 53% larger and 47% core at the end of 2020. The market remains very competitive. The percentage of deals lost to structure increased from 61% this time last year to 67% this year. Our weighted current active loan pipeline in the fourth quarter dropped by about 2% compared with the end of the third quarter, reflecting the continued impact of the pandemic on business activity.  Consumer banking continues to see good growth. Overall, our net new customer growth for the fourth quarter was up 57% compared to the pre-COVID fourth quarter of 2019. Same-store sales as measured by account openings for branches opened less than a year were up by 2.2% through the end of the fourth quarter when compared to the fourth quarter of 2019, and up 8.2% compared to the prior quarter. Here again our Houston expansion is helping this growth. For example, despite currently representing only about 16% of our total consumer households, Houston contributed 34% of fourth quarter total company consumer household growth.  In the fourth quarter, 41% of our account openings came from our online channel, including our Frost mobile app. Online account openings were 39.5% higher compared to the fourth quarter of 2019. The consumer loan portfolio was up $1.8 billion at the end of the fourth quarter, up by 7.2% compared to the fourth quarter last year.  Our Houston expansion is nearing completion with two new financial centers opened in the fourth quarter for a total of 22 of the 25 planned new financial centers. COVID has had an impact on our rollout, but we expect to open the remaining three in the first half of this year. Overall, the new financial centers are exceeding our expectations and the new locations were well placed and well-timed to leverage our success in obtaining PPP loans for the market.  The fourth quarter also saw the opening of our new financial center in College Station with the second financial center to open in nearby Bryan later this quarter. So far in January, our newest location in Dallas, the Red Bird Financial Center location also opened for business. We remain committed to consistent, sustainable, above average organic growth. We also remain committed to managing costs and operating as efficiently as possible.  This month, we took the difficult step of eliminating 68 positions across the company where business needs have changed, where technology could be better utilized and where responsibilities could be consolidated. This, along with broadly successful efforts to improve efficiency which Jerry will discuss positioned us well as we move into 2021.  I talk often about the dedication skill of Frost Bankers and about their commitment to Frost philosophy and culture. Throughout a difficult 2020 and now into a new year that promises to be challenging in its own way, the people of Frost have been and will be ready to provide the level of world-class customer service Frost is known for. I’m thankful for them. I’m proud of what we’ve accomplished and I’m optimistic about the long-term well-being of the company and the communities we serve. Now, I’ll turn the call over to our Chief Financial Officer, Jerry Salinas for some additional comments.
Jerry Salinas: Thank you, Phil. Looking first at our net interest margin, our net interest margin percentage for the fourth quarter was 2.82%, down 13 basis points from the 2.95% reported last quarter. The decrease was almost all a result of a higher proportion of earning assets being invested in lower yielding balances at the Fed in the fourth quarter as compared to the third quarter. Interest-bearing deposits at the Fed earning 10 basis points averaged $7.7 billion or 20% of our earning assets in the fourth quarter, up from $5.9 billion or 16% of earning assets in the third quarter.  The taxable equivalent loan yield for the fourth quarter was 3.74%, up 1 basis point from the previous quarter. Average loan volumes in the fourth quarter of $17.9 billion were down $205 million from the third quarter average of $18.1 billion. The decrease was driven by a decrease of $296 million in average PPP loans as a result of those balances being forgiven. Excluding PPP loans, average loans in the fourth quarter were up about $92 million or 2.4% on an annualized basis from last quarter.  Looking at our investment portfolio, the total investment portfolio averaged $12.6 billion during the fourth quarter, down about $98 million from the third quarter average of $12.7 billion. The taxable equivalent yield on the investment portfolio was 3.41% in the fourth quarter, down 3 basis points from the third quarter. The lower portfolio yield was driven by a decrease in the yield in our taxable portfolio. The yield on that portfolio which averaged $4.2 billion during the quarter was down 9 basis points from the third quarter to 2.12% as a result of higher premium amortization associated with our agency MBS securities, given faster prepayments speeds and lower yields associated with recent purchases.  Our municipal portfolio averaged about $8.4 billion during the fourth quarter, down $95 million from the third quarter, with the taxable equivalent yield of 4.09%, up 1 basis point from the prior quarter. At the end of the fourth quarter, 78% of the municipal portfolio was pre-refunded or PSF insured. The duration of the investment portfolio at the end of the fourth quarter was 4.4 years compared to 4.5 years last quarter.  During the fourth quarter our investment purchases were less than $100 million and consisted primarily of MBS securities. As we look out into 2021, we currently are not expecting to make a significant amount of investment purchases in this market. We are currently only expecting to make purchases in the neighborhood of about $1 billion, which will help to offset a portion of our maturities and expected prepayments in calls.  Regarding non-interest expense; for the fourth quarter I’ll point out that non-interest expense includes about $7.1 million in one-time restructuring costs, with $5.2 million of that related to severance impacted by the eliminated positions Phil noted.  As we mentioned last quarter and as Phil mentioned in his comments, in this environment we continue to focus on managing our discretionary spending and looking for ways to operate more efficiently. We have worked and continue to work in a collaborative manner across our organization to look for ways to operate more efficiently without affecting our customer experience.  We challenged ourselves to eliminate open positions where possible and reorganized operating areas, including using technology where it makes sense to further automate processes. We used a thoughtful process to reorganize positions, where the business needs have changed, where technology could be better utilized and where responsibilities could be consolidated.  We asked our teammates to question discretionary spending and visited with vendor relationships to reduce costs where we could. All this was done without losing sight of our core values of integrity, caring and excellence. We believe that we have always been prudent in managing expenses, but in this zero rate environment, our approach has become even more focused.  We began this process in the second quarter of last year as we began to deal with the challenges of the pandemic in a zero interest rate environment. Our initial guidance for expense growth for 2020 was around 10.5% and we actually ended up with a growth rate of under 2% on reported non-interest expenses, 2020 over 2019. Obviously the changes resulting from the operating environment and lower incentives affected the decrease somewhat, but overall it shows our team’s commitment to managing expenses in this environment.  Now looking forward into 2021, we expect an annual expense growth of something around the 4% to 4.5% range growth off of our 2020 total reported non-interest expenses. Regarding income taxes, we currently expect our effective tax rate for 2021 to be a little higher than our 2020 effective tax rate of 5.7%. Just as a reminder, 2020 income tax expense included a discrete onetime credit of $2.6 million.  Regarding the estimates for full year 2021 earnings, we currently believe that the current mean of analyst estimates of $4.72 is a little low. This assumes a steady operating environment with no unexpected credit event. With that, I’ll now turn the call back over to Phil for questions.
Phil Green: Thank you, Jerry and we’ll now open up the call for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brady Gailey with KBW; your line is now open.
Brady Gailey: Hey, thank you. Good afternoon, guys.
Phil Green: Hey, Brady.
Jerry Salinas: Hey, Brady.
Brady Gailey: So I wanted to start with the PPP loans. You know I know some of those got forgiven in the fourth quarter. What was the dollar amount of spread income impact from PPP in the fourth quarter?
Jerry Salinas: Yes, give me a second here. I’ll say that the fee portion I know was around – let me grab it here just so I don’t have to give you any false information; it was about $19 million.
Brady Gailey: Okay, and I know you guys were pretty successful in round one of the PPP. It was over $100 million of earnings if I remember right. What about round two? I know it’s early, but any idea how big that could be at Frost round two of PPP?
Phil Green: You know Brady, we’re seeing really good volume. Our people worked around the clock once the SBA gave us the information about how we’d be integrating with them, and it was a new system front end. I think we had about 10 days to stand up our portal and our processes and it was – we have so far gotten – well, let’s see. The piece of paper I have right now has over 7,000 applications. I think earlier today I got one maybe 7,500 or so and we’ve got around 2,500 applications approved by the SBA back to us, so the process is working really well.  It’s an automated process. We’ve seen good application volume. This number that I was looking at that I told you about was – let’s see, the 27 which in PPP used to be an eon, but let’s say it’s pretty good and that was close to $1 billion worth of volume. So we’re seeing a little bit lower average loan size than we did in the first round. I think our first round had a number that was well, let’s say an 180,000-ish number. This time so far it’s been about 144,000 average size. I will say that we’ve seen a volume slow more recently. It looks like the people that needed this money were lined up to really get in line and we’ve seen that 90% -- 90% of the numbers that are coming in are from first time PPP – excuse me, second time PPP borrowers, so we’re seeing good activity there.
Brady Gailey: Alright, that’s good color. Then finally for me, it’s uncommon to hear about Cullen/Frost going through layoffs. I think the last time you’ll did that might have been a couple of decades ago. I know the times are tough, especially with this yield curve. Those layoffs, I think were about 1.5% of your staff. Is that a one and done deal or will you continue to look, not just at the workforce, but elsewhere as far as expense reductions this year.
Phil Green: No Brady, you’re right, it was a tough thing to do and it was – you know one of the first thing we started with, it really was the last thing and as Jerry has kind of been reporting, he’s modestly been trimming that 10% number he guided you to the first year down to, I think it was under 1% or so, about 1% to 2% for the year or so.  There was so many different things that we did. We got a fair amount of visibility when we as an executive team cut our salaries 10%. You know in our last quarter call I told you about how our board was – they immediately in their private session started to cut their compensation 10%. You know just a very Frost thing to do. So we started with those kind of things and everything is discretionary.  When we got down to the end of it, we did need to reduce some of these positions, because it was the right thing to do. We didn’t take out a hatchet and make the reductions, they were very thoughtful.  I think one thing though that we decided to do is reduce the amount of open positions. I mean we’d much rather reduce a position for someone we don’t know and haven’t hired yet than doing that for someone we have hired, and so there were many more positions that were open that were reduced than they were reduced from current staff.  So no, it’s not something that we’re planning on doing and it’s not in our outlook right now. It’s also true though, all banks have been reducing the expenses on staffing related to business activity for years right. I mean I can go back and look at, I think it was pre-financial crisis, I was looking at our average assets per employee and it was something around $3 million each and then I think if you just go back to a couple of years ago it was literally double that level.  So we’ve been using technology more effectively and efficiently. I think we’re using it smarter and we’re giving better customer experiences with it, and so that will have an impact on our growth and people; we sure wanted to and expect that to be the case. But no, we’re not anticipating anything similar to what we did in January.
Jerry Salinas: Great! Yes, this is Jerry. The one thing I will say though is that we’re not shifting our focus away from expense management. So you know I think Phil’s right, that the layouts were tough to do and were the last thing to do, but we continue to work with the executive team and really the whole organization, looking to them to continue to participate and trying to save expenses, where we can, to be smarter about the things we do and try to find more efficiency. So hopefully in this environment that’s something that our staff will continue to hear us talking about it and hopefully continue to focus on.
Brady Gailey: Okay, got it. Thanks guys.
Phil Green: Thank you.
Operator: Your next question comes from the line of Ebrahim Poonawala with the Bank of America Securities; your line is now open.
Ebrahim Poonawala: Good afternoon.
Phil Green: Hey Ebrahim.
Ebrahim Poonawala: I guess just first for the follow-up Jerry on PPP, a couple of these questions around the model. Could you remind us what the balance was of PPP loans at the end of the year and how much of fees are left to be accrued at, tied to PPP 1?
Jerry Salinas: Sure, there’s about $39 million left to be earned and we expect all of that to be earned in 2021. And at the end of the year, our PPP balance was $2.4 billion, down from $3.2 billion at the end of September.
Ebrahim Poonawala: And do you expect the vast majority of that to come through in the first quarter? I think you expected that last earnings call?
Jerry Salinas: No, I think that what we’ve seen, we had $800 million roughly I’m going to say. I don’t have the number right in front of me, but I think it’s right between that paid off or that was forgiven if you will between September and December. It really seems to have slowed down toward the last part of December and into January. I would expect right now based on the best information we have is it will be – bleed into the second quarter as well, so a little bit slower than we expected here in January.
Ebrahim Poonawala: Got it. And I guess Phil another question around – I appreciate what you’re trying to do in terms of making the franchise more efficient, I guess nothing wrong with that, but just talk to us in terms of growth outlook. I mean, one of your competitors had a call yesterday and talked about all the great things happening in Texas. We are seeing corporate headquarters being moved, folks moving from the coast to Texas.  Given that Frost is probably the largest sort of Texas bank, what does this mean for earnings growth, loan growth for the bank? Like talk to us there and in terms of what are you doing in terms of actually hiring and putting more investments on the technology frontline personnel?
Phil Green: Ebrahim, with regard to Texas and Texas growth, I mean I would agree with them, the people have been moving here for a long time. We’ve seen a step-up in growth. It’s amazing to see the relocations coming from other markets, some of the brokers that we have business relationships and these are very successful brokers.  I remember one telling me, in Austin that it used to be 80% of the relocations that they saw from out of state were from California. Now it’s about half California and half mid-East – Midwest and East Coast and so it’s – I think it’s gaining momentum. I think we’re trying to understand the long-term impact of it, particularly in Austin.  I mean there’s been a consistency to this kind of thing, but the rate of growth and momentum in the Austin market has really been remarkable over the last several months and we’re trying to understand the longer term impact for that in that market, and then what it means to us in terms of capital allocation and how we approach that market. So I think, you know that’s literally developing as we all read the headlines and experience the growth.  As far as, our expectations on loan growth, I mean things still are really driven by the pandemic and, you know impacts we’re seeing there. I mean we, you saw, you heard me talk about new relationship growth. I mean I think that’s remarkable to have that kind of relationship growth in a pandemic situation where you really can’t get out and visit customers the same way you used to be able to do it. And so that’s really positive.  At the same time our pipeline is down, and it’s and I really believe that’s related to the pandemic, and we’re just going to have to see the general level of business confidence increase and get healthy before we see that go up.  You know, I think we try to keep this high single digit loan growth, you know through year. I don’t expect us to do that, without the PPP loans, I don’t expect us to do that. I expect us to be below that, and we’ll work hard to beat it, but it’s a tough environment.  But nothing’s changed in terms of the fundamental outlook for Texas and for our company. I mean we are being successful, I think we are taking market share and we are, you know though the investments we’re making, that I know were hard for our shareholders to – you know when we were spending the current operating earnings from you know, for Houston, I really see them paying off as we continue to move forward and we’re going to continue to do that kind of thing.  So I’m optimistic about the future, but this year it’s going to continue to be under pressure from COVID.
Ebrahim Poonawala: Got it. Thank you for taking my questions.
Phil Green: Sorry. Thank you.
Operator: Your next question comes from the line of Ken Zerbe with Morgan Stanley; your line is now open.
Ken Zerbe: Great, thanks. Phil, you mentioned, if I got the numbers right, something like 40% of your new account openings were through the digital channels. Where were those customers located? Because I’m trying to understand if those customers are – if they live in the same towns as your existing branches or are they coming from outside of your existing footprint? Thanks.
Phil Green: Ken, we found a number that I thought interesting is. Let’s take Houston for example, 60% of the accounts that were opened online were within a five-minute drive of an existing Frost location.  So, I think there are a number of factors that were up, I believe people more and more, it’s been our experience more and more of doing their research online which is a positive for us because you’ll see really, if you take the time to research, to see very positive reviews and reactions to us and then they are, I think the fact, let’s take Houston I reported how it’s an outsized percentage of our growth, not the only growth we are having but it you know, it’s an outsized percentage. You know people are seeing new locations, where they live and they are opening up. And just, we just had a lot of success online. So, I would say that they tend to be, they have tended to be in market, the markets that we’re in and they tend to be proximate to locations we have but, but as I just said, you know 60% were within a five-minute drive of our locations in Houston, and so that means 40% weren’t. So there is some.. 
Ken Zerbe: Yes, that is an interesting statistic. I guess more, taking it a little bit more broadly, does that imply, because I know a lot of the banks are obviously focusing very heavily on digital, but does that imply that to continue to grow your new customer base, banks also would have to continue to open new branches to expand their potential customers who would apply online.
Phil Green: I had to make that broader statement, but I can tell you that, you know just looking directly at our expansion in Houston, right, where it was almost a doubling of our locations and you’re seeing the account growth that I’ve talked about in the commercial side and the consumer side.  I mean it’s certainly helpful, and it’s added to the process. I mean, you know one thing I always like to point out about our strategy though in Houston, because it’s fun to talk mainly about consumer because I think we all relate to that as individuals. You know the biggest revenue piece of that strategy has to do with small and mid-sized businesses. If you look at our company overall, what is it 90% or so of our loan book in round numbers comes from the commercial side, commercial real estate, commercial C&I lending. And our deposit base is 55%, at least last time I looked at it was about 55% commercial.  So, what we’re doing is really trying to replicate our business model in these markets and that means it’s a very strong small to mid-sized commercial banking market.  So, one other thing that I have mentioned before is back when I could do customer calls and face to face is back in 2019, you know a number of times I was with people that were doing live RFPs for new banks and 75% of those cases that one of the elements of the RFP was what’s the nearest location. So, you know I’d like to keep that in mind. There is a very much of a commercial focus there as well. And we’ve seen really good growth in our commercial relationships in Houston.
Ken Zerbe: Alright, perfect. Thank you very much.
Phil Green: Thank you.
Operator: Your next question comes from the line of Jennifer Demba with Truist Securities; your line is now open.
Jennifer Demba: Thank you. Good afternoon.
Phil Green: Hi, Jennifer.
Jennifer Demba: Could you just talk about what’s driving your expense growth for this year, in terms of your guidance, and you talking about the main growth that Austin is seeing? Will you be putting more branches at market?
Jerry Salinas: Regarding the expenses, Jennifer a couple of things I’ll mention that, you know as I mentioned in my comments, obviously there was some benefit, if you will in 2020 expenses related to the fact that a lot of incentives weren’t paid right. We weren’t meeting the targets that we needed to meet it, and so our projections for 2021 do represent that we will have some increases there.  We also have the impact of the Houston expansion. We talked about that. We had planned on that they would all be opened by the end of 2020. That process has been a little bit slower than we expected and so we still actually have three more branches to open and we opened quite a few in the latter part of 2020. So they’re having a full-year impact on 2021. I’m going to say those are primarily the big things that are affecting the growth between 2020 and 2021.
Phil Green: And Jennifer with regard to Austin, yeah I think when I talked about, we’re evaluating the, you know what the really dramatic growth Austin is seeing at least in the headlines, but more than that. You know I was looking at the numbers with the Fed job growth; it’s pretty remarkable what they’ve been able to recently.  When we say we’re looking to understand the impact of that. Yeah, it could result in us, I think it will result in us at some point of adding two locations there and maybe above what we otherwise would have done, but I think there is some work that needs to be done understanding it because it’s changing pretty rapidly, but it’s an opportunity, I believe.
Jennifer Demba: Thank you.
Operator: Your next question comes from the line of Dave Rochester with Compass Point; your line is now open.
Dave Rochester: Hey, good afternoon guys.
Phil Green: Hey, Dave.
Jerry Salinas: Hey.
Dave Rochester: Hey, on the margin, you guys set your guide for the level just above 3% for 2020. How are you guys thinking about that trend from that 2.82% 4Q or the NII going forward, whatever is easier, ex-PPP, given you’re maybe due to the loan growth, at least at this point in the year?  And then what do you see for new loan, where are you right now? And what are your thoughts on the timing of that $1 billion in securities purchases that you were talking about?
Jerry Salinas: Let me see if I got all the pieces, here on the NIM, I think you were asking about ex-PPP. You know, as I mentioned in my comments, right now we’re really not projecting a lot of investment purchases.  We’re only I think are modeling $1 billion. We’ve got north of $7 billion and $8 billion even $9 billion some days at the Fed and so obviously that net interest margin percentage is going to be reacting to that, but there’s definitely pressure obviously on the net interest margin. Right now, the guidance I would give is if I look at that fourth quarter NIM, I would expect that we’ll probably see high single-digit movement downward there just given some of the roll off of the loans that are maturing and being replaced by lower yielding loans. It’s kind of the same thing on the investment portfolio and then again, the net interest margin.  We’re just having such a big impact from the level of deposits that we’ve got. I was looking at it; we’ve got I think – this morning we had north of $9 billion, maybe $9.5 billion at the Fed and you know we were kind of looking at it and said, ‘well, just to understand for ourselves the impact that that’s having on our percentage’ and it’s just interesting that if $5 billion walked away, that’s only earning 10 basis points. So it’s not going to be a huge hit to interest income, but it probably moves your NIM about 40 basis points, the percentage itself.  So right now a lot of that NIM percentage is being impacted by the level of liquidity that we’re carrying and we’re just not willing to bet right now in today’s market. Don’t like what we see and so we like the optionality that we have by sitting a little bit on the sidelines there.
Dave Rochester: Yeah, that makes sense. What is the differential now in the front and back book on the loan book at this point?
Jerry Salinas: You know I guess – Sure yeah, I guess I’ll just say, if I’m looking at probably the most pressure we’re seeing, I’m going to say is in the C&I book. I was looking and it’s probably about 40 basis points. If I look at the new book, just being the stuff that we put on in the fourth quarter versus everything before that, and I was kind of surprised that on the commercial real estate we’re seeing most of the demand. The information I was looking at is that it’s not really that much lower; maybe a little north of 10 bps, you know 10 bps to 15 bps lower.
Dave Rochester: So I guess just given your commentary on loan growth and the fact that I would think you would still see some deposit growth this year, I would imagine and still expect to see NII growth from the 4Q level, you might see more NIM. Is that fair?
Jerry Salinas: Well, I think that the thing with as far as NII growth is concerned is really don’t forget that we do have PPP in there. And we really, I guess I should say that the guidance that we gave really doesn’t include PPP, that was almost intentional on our part. We still need to see kind of what sort of volumes we get in there and you know we’ve had conversations internally. Obviously there could be some impact on our projections for the loan growth by this PPP round 2.0 if you will. So in 2020 we recognized about $20 million a quarter in PPP fee income in each of those last three quarters of the year and we’ve got about, I think I said right under $39 million to $40 million left to earn that I expect we’ll earn by the first couple of quarters of next year. So we’ll feel some pressure of that, ex this new PPP fees, but if you layer those back on, yeah, we still haven’t really brought that all into our model and looked at what we think will happen to our model of loan growth.
Dave Rochester: Okay, great. Thanks guys.
Phil Green: Thank you.
Operator: Your last question comes from Steven Alexopoulos with JPMorgan; your line is now open.
Steven Alexopoulos: Hi, everybody.
Jerry Salinas: Hey, Stephen.
Phil Green: Hey, Stephen.
Steven Alexopoulos: I want to start, so when you indicated that consensus of $4.72 for 2021 is a little low, I’d imagine consensus includes an assumption for reserve releases. Do you assume reserve releases in your comment that EPS for 2021 as well?
Jerry Salinas: We do not. We’re not – that’s not the part of what we’re assuming at this point in any guidance that we give.
Steven Alexopoulos: Okay, that’s helpful. And then on expenses, I’m honestly a bit confused over the message on expenses. Last quarter you talked about your need to get more efficient given the revenue headwinds where you were cutting senior management based salaries, but now you’re guiding to 4% to 4.5% in 2021, which I’ve always considered a fairly normal year. Is the intense focus on expenses continuing in 2021 or is that a really 4Q event?
Jerry Salinas: No, I mean the thing that was asked earlier is we are being impacted again. You know we’re projecting a more normalized year as far as revenues and income growth and so there were some incentives. Obviously, they didn’t get paid out in 2020 that we’re projecting to increase, so basically to get back on if you will, in 2021. As I also mentioned you know, Houston expansion is really more expensive to us in 2021 than it was in 2020. It probably is a little north of a 1% impact on our expense growth guidance, but no, the focus on expenses continues. That’s what I was saying in my comments.  You know we’re continuing to do that, but we’re not going to cut technology costs for example, that’s just not going to happen in this environment. And so what we’ll continue to focus on is ensuring that from a people standpoint that we’re doing what we need to do and that we really questioned all the open positions or all the requests for new positions within the organization. But I think for us, opening those Houston branches and having them come all online as we think into 2021 is going to have obviously an impact on our growth and expenses versus what we had in 2020.
Steven Alexopoulos: Okay, that’s helpful. And then final question, you guys have always been the standout bank in your markets from a client satisfaction view, but as we listen to all of your local competitors, they are all investing in technology. You seem to be more focused on client experience. Are you seeing tougher competition in the markets in more general?
Phil Green: Are you talking – can you be more specific, are you commercial deals or are you talking about…?
Steven Alexopoulos: Yeah, all of the above. I mean when you talk to just about every bank, right, they’re investing in technology, they’re investing in digital, they are focused on friction points, a client experience and you guys have had the highest client satisfaction score in your markets and I’m wondering if you – in the past you’ve talked about losing deals primarily over price and structure. But are you starting to lose more deals because other banks are just doing a much better job and that’s commercial and consumer both?
Phil Green: Oh, heck no. No, I would not say that at all. I mean we’ve – you know it’s kind of a broad question, but I mean if you look at the – it really has to do with – it starts with culture and it’s a combination of technology and people. I mean our technology is elegant and it’s branded; its very user friendly, it’s smart and you know we were, I was looking at some numbers on account opening online from a peer that I can’t talk about, because it’s got a confidentiality agreement, but who are one of the top banks of a large group of banks in terms of the account openings online.  So we’re starting from a good place and so I feel like the changes that we were able to implement and have been implementing in technology still are able to – we’re still able to move beyond the competition. They can spend money and we are too, and we’re all competing, but you know I’ll just give an example. We put a dark mode on our iPhone app and chimed [ph] in that dark mode that time. In order to begin to fill that dark mode, I can go down the list. I mean so, they are chasing and moving target is what I would say about that.  And then the second thing I would say is, as far as commercial competition and everything, absolutely it’s bad and it’s getting worse. You know I saw – I think I’ve said in my comments, we went up from 67% loss deals and structure was 61%. I think people are hurting for volumes, they are stretching for deals they want to do and so, yeah, yeah, it’s worse. We are losing more to that kind of thing, but I’ll tell you, I’m prepared to lose deals for bad structure. There is no greener pasture across the fence of good credit quality, there is nothing there but a wasteland and we don’t intend to go over there.  So yes, it’s complicated – I mean it’s complicated, but it’s also a competitive, but we are ready to compete and I’ll take my team and compete with anybody in this point.
Steven Alexopoulos: Great! Thank you for the color. That was really helpful.
Phil Green: Absolutely!
Operator: We have a question from Michael Rose with Raymond James. Your line is now open.
Michael Rose: Hey, thanks for taking my question. Are you guys doing anything on any of your fee businesses, making any sort of targeted investments? Maybe you can give us an update on the trust business and insurance business and then just quickly, was there anything that drove the increase sequentially in other fee income? Thanks.
Phil Green: Well, first of all, broadly in our fee-based businesses, we’ve been investing in those two. The one that comes to mind is we had a major system upgrade and conversion in our trust business, which god, I can’t tell you how long they’ve been working on that, but it’s been a positive to us and went just flawlessly. So proud of the team and how they are able to do it and they did it from home during COVID.  If you look at our treasury management systems, we’ve upgraded both of those. We got really great scores from Greenwich & Associates for Treasury Management and for years, still do, but for years we did it with a system that we were using a partner that we felt we could do better, we knew we could do better and there was features that we were frustrated when we weren’t able to bring to the table and we really got those high remarks because of the quality of service our people give.  Now we have systems which we have put in place to upgrade, which has increased the mobile capability, etcetera for both, the larger more sophisticated customers and then also for the smaller customers as well. So we’re attacking the market there with a much better product offering on the technology side there.  And one thing I’ll say about the major customers and the implementation of that new system. We did not lose any customers to attrition as a result of that system conversion. I’ve never heard of that as it relates to a treasury management system conversion. Usually what happens is if that happens, you really go after those companies that are having to go through that, because if they’re going through a conversion, they might as will convert to your system. But for us to not have really any attrition for that system just speaks to the quality of service that our people have been providing and also I think the quality of the system. So yeah, we’ve been putting some money there and Jerry, I think you had some questions… [Crosstalk]
Jerry Salinas: Yeah, regarding the linked quarter other income, yes, most of that is related to some debit card incentives that we recognized in the fourth quarter. So compared to the fourth quarter a year ago, you don’t see that sort of variability, but in the linked third to fourth quarter you’ll see that there, and then we also had a good month and our trading activity was higher in the fourth quarter as compared to the third and our public finance underwriting group had a strong quarter. So those things impacted the variability on the linked-quarter basis.
Michael Rose: Got it, I appreciate all the color. Thank you.
Jerry Salinas: Sure.
Operator: [Operator Instructions] There are no further questions at this time. You may continue.
Phil Green: Alright, well thank you very much for everyone’s participation and interest and we’ll be adjourned.
Operator: Ladies and gentlemen, this concludes today’s conference call. You may now disconnect.